Operator: Good morning, ladies and gentlemen. My name is Michelle, and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the Kimball Electronics Second Quarter Fiscal 2021 Financial Results Conference Call. All lines have been placed on listen-only mode to prevent any background noise. [Operator Instructions]. Today's call February 4, 2021, will be recorded and may contain forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Risk factors may influence the outcome of forward-looking statements, can be seen in Kimball's Annual Report on Form 10-K for the year ended June 30th, 2020 and in today's release. The panel for today's call is Don Charron, Chairman of the Board and Chief Executive Officer and Mike Sergesketter, Vice President and Chief Financial Officer of Kimball Electronics. I would now like to turn today's call over to Don Charron. Mr. Charron, you may begin.
Don Charron: Thank you, Michelle. And welcome, everyone, to our second quarter conference call. Our earnings release was issued yesterday afternoon on the results of our second quarter ended December 31, 2020. We have posted a financial summary presentation to accompany this conference call, which can be found on our Investor Relations website within the Events and Presentations tab. Or if you are listening via the webcast, you can follow along by advancing the slides or download them from the Downloads tab on the webcast portal. I will begin by making a few remarks on the quarter and then turn it over to Mike for the financial overview. After that, we will answer any questions that you may have. We are very pleased with the operating results for the second quarter of fiscal year 2021. We again exceeded our goal of 4.5% operating income and we continue to deliver excellent cash flow from operations. Our strong results were primarily driven by improved operating execution, favorable product mix and a weaker dollar. Looking ahead, we expect that our performance should approximate our long-stated goal of 4.5% operating income. The persistence of the pandemic continues to draw our attention. It's difficult to predict what we will face in the future. However, we are confident that our business will remain strong and we are optimistic about our new business opportunities funnel. We remain committed to our goal of 8% organic growth and believe the goal is well within our reach for fiscal year 2021. Our team remains resilient and I'm so proud of our collective response to the adversity, while generating strong cash flow from operations for the third consecutive quarter. Beyond our excellent financial results, we never lost sight of the fact that the health and safety of our employees remains our number one priority, and we continue to make every effort to keep our facilities safe. The number of our employees testing positive for COVID-19 has been kept at a low level and disruptions have been kept to a minimum, and we continue to deliver on our promises to our customers. In the second quarter of fiscal year 2021, sales in our medical vertical increased 2% compared to the second quarter of fiscal year 2020, but were down 31% sequentially. As the COVID-19 related increases in the previous quarters were completed and our sales in our medical vertical normalized and began to approximate pre-COVID-19 run rates during the second quarter of fiscal year 2021 as expected. Sales in our automotive vertical continued to gain momentum during the quarter of fiscal year 2021, increasing 13% from the second quarter of fiscal year 2020. We expect the sales in our automotive vertical will remain at these levels or even steadily increase throughout the remainder of fiscal year 2021. We are, however, keeping a close eye on the industry wide semiconductor shortages and the potential impact on global automotive production. October 1, 2020, marked the two-year anniversary of our GES acquisition. The GES results for the second quarter of fiscal year 2021 were again a significant improvement when compared to the second quarter of fiscal year 2020. It is important to note that we do have a degree of seasonality in the GES business, with the fiscal second quarter being their weakest and the fiscal fourth quarter being their strongest. Our backlog of orders for machines to be shipped in the fourth quarter of fiscal year 2021 has grown nicely and GES is well positioned to deliver those machines as scheduled. Our cash conversion days or CCD, for the quarter ended December 31, 2020 were 75 days down from 76 days in both the quarter ended December 31, 2019 and the first quarter of fiscal year 2021. In the second quarter, a significant decrease in our production days' supply on hand or PDSOH or inventory measure was largely offset by an increase in our day sales on hand. While the volatility in demand and product mix continues making it difficult to achieve our cash conversion days objectives, we are encouraged by our inventory reductions this quarter and remain committed to our goals and actions. We will continue to focus on optimizing our working capital and achieving our CCD goal of 65 days. We invested $6.1 million in capital expenditures in the second quarter of fiscal year 2021. These capital investments were largely to support the launch and ramp up of new programs and to replace older machinery and equipment. We continue to study our capacity needs to support growth plans. The Board approved plan to expand our Thailand operation has been officially kicked off and other footprint expansions are currently under review. There were 190,000 shares repurchased in the second quarter of fiscal year 2021 for a total of $3 million. Since October of 2015 under our Board authorized share repurchase program, a total of $79.7 million was returned to our shareowners by purchasing 5.3 million shares of our common stock. And lastly, as I stated earlier, I'm so proud of our people around the world and our collective response to the COVID-19 pandemic. Our strong company culture and core values have and will continue to help us get through this together. Our number one priority will continue to be keeping our employees healthy and safe. We will continue to deliver on our promises to our customers. And with our strong cash flow and balance sheet, the company is in a solid position, and we are committed to build success in the future. Now I'll turn it over to Mike to discuss our second quarter results in more detail. We will then open the call to your questions. Mike?
Mike Sergesketter: Thanks, Don. During my comments, I'll be referring to the slide deck Don mentioned, which can be found on our Investor Relations website within the Events and Presentations tab. Or if you're listening via the webcast, you can follow along by advancing the slides on the webcast portal. As shown on Slide 3, our second quarter net sales were $320.6 million, which was a 4% increase compared to net sales of $307.1 million in the prior year second quarter. The increase in net sales compared to the prior year was largely driven by increased volumes in the automotive vertical. Foreign exchange rates favorably impacted our net sales 3% compared to the second quarter a year ago. Slide 4 represents our net sales mix by vertical market. Our automotive vertical was up 13% compared to the same quarter a year ago and up 28% sequentially driven largely by the ramp up of certain programs including programs for fully electric vehicles, continued recovery from the COVID-19 shutdowns, lower volumes in the prior year due to the UAW strike and favorable foreign exchange rate impacts. Our medical vertical was up 2% in the current quarter compared to the prior year second quarter. As expected, sales in the medical vertical normalized in the second quarter as the COVID-19 related increases experienced in the most recent two quarters were completed and our medical vertical began to approximate pre-COVID-19 run rate. Our industrial vertical was up 2% from a year ago, primarily due to improved sales of automation, test and inspection equipment. And higher end market demand for climate control products, which were partially offset by decreased demand for smart metering products. Lastly, our public safety vertical sales were $10.5 million, which were down 28% from the prior year second quarter, primarily due to the continued phase out of certain programs. Our gross margin in the second quarter reflected on Slide 5 was 9.3%, a 260 basis point increase from the second quarter of last fiscal year. Gross margin improvement compared to the prior year second quarter was driven by a number of factors including improved operating execution, favorable product mix within our automotive vertical driven by a shift to more mature and larger programs, favorable foreign currency impacts driven by the weaker dollar and continued year-over-year GES operating improvements, which were partially offset by higher profit-sharing bonus expense. Adjusted selling and administrative expenses, non-GAAP which excluded the changes in the fair value of our SERP liability, were $12.7 million in the second quarter, up $1.4 million in absolute dollars and up 30 basis points compared to the prior year second quarter. The increase in adjusted selling and administrative absolute dollars was primarily driven by higher profit-sharing bonus expense, resulting from our overall strong financial performance in the quarter. Adjusted selling and administrative expenses excludes changes in the fair value of our SERP liability, which is directly offset in other income and expense from changes in the fair value of the SERP investments. Adjusted operating income, non-GAAP for the second quarter came in at $17 million or 5.3% of net sales and as shown on Slide 7 in the deck, an improvement from $9.2 million or 3% of net sales in the same period a year ago, driven by the increase in gross profit previously mentioned. Adjusted operating income excludes changes in the fair value of our SERP liability. Other income expense was income of $2.4 million in the second quarter, which compares to income of $0.1 million in the second quarter of fiscal year 2020. Other income net in the current year second quarter includes $2.5 million in net foreign currency gains, $800,000 in gains on the SERP investments, partially offset by $600,000 of interest expense. Other income net in the prior year second quarter includes $1.1 million in interest expense, $800,000 in net foreign currency gains and $500,000 in gains on the SERP investments. The effective tax rate for the current year second quarter was approximately 19%. The current period effective tax rate was favorably impacted by the mix of taxable earnings within our various tax jurisdictions, including the favorable impact of foreign exchange rate movements. In the prior year second quarter, the effective tax rate was approximately 25%. Slide 8 reflects our adjusted net income trend. Our net income in the second quarter of fiscal year 2021 came in at $15.1 million with adjusted net income non-GAAP of $15.2 million after adjusting for the after-tax impacts of settlement charges after the measurement period on the GES acquisition. This compares to net income of $6.6 million in the second quarter of fiscal year 2020. There were no non-GAAP adjustments in the second quarter of fiscal year 2020. Diluted earnings per share in the second quarter was $0.60. This compares to diluted earnings per share of $0.26 reported in the same quarter last year. Non-GAAP adjusted items did not have an impact on diluted earnings per share in the current or prior year quarters. Cash and cash equivalents at December 31, 2020 were $93.6 million. Operating cash flow trends are shown on Slide 11. Our cash flow provided by operating activities during the fiscal year second quarter was $51.6 million, a quarterly record, driven primarily by net income plus non-cash depreciation and amortization and inventory reductions. In the prior year second quarter, operating activities used $300,000. Our cash conversion days or CCD was down one day from the three months ended December 31, 2020, when compared to both the same period in the prior year and the first quarter of fiscal year 2021. In the second quarter, a significant decrease in our production days' supply on hand or PDSOH, our inventory measure was largely offset by an increase in our day sales on hand. Slide 12 reflects our capital and depreciation trends. Capital investments in the second quarter totaled $6.1 million largely related to manufacturing equipment to support new production awards and the replacement of older machinery and equipment. The Board approved expansion of our Thailand operation has been officially kicked off, as Don mentioned, which will double the capacity of the Thailand facility and is expected to take approximately 12 months to complete at a cost of $8 million. Borrowings on our credit facilities at December 31, 2020 were $86 million, which is down $32 million from June 30th of 2020. Our borrowings classified as long-term have declined by $30.5 million from June 30th of 2020. Our short-term liquidity available represented as cash and cash equivalents plus the unused amount of our credit facilities, totaled $205 million at December 31, 2020. In conclusion, our financial condition continues to be strong and we're in excellent position to take advantage of growth opportunities and improved operating margins and return on improved operating margins and return on invested capital, while being able to confront the continued uncertainties caused by the COVID-19 pandemic. With that, I would like to open up today's call to questions from the analysts. Michelle, do we have any analysts with questions in the queue?
Operator: [Operator Instructions]. Our first question comes from the line of Mike Morales with Walthausen Company. Your line is open. Please go ahead.
Mike Morales: A few questions to touch on here. Let's start with the supply chain and capacity expansions that you guys talked about. You called out the semiconductor shortages that you're seeing, specifically as it relates to auto. Can you just give a broad update on what you're seeing from the supply chain and thinking about specifically semiconductors? If we're searching for a silver lining here, could that help the GES business as people continue to add capacity in that space? Just curious on what you're seeing.
Don Charron: Yes. So let's start with the last part of your question around GES and could it help our business outlook, medium to longer term for GES. The short answer is yes. That's one of the end market verticals that our GES business focuses on and we do have quite a bit of application experience in that space. And so we would certainly hope to be considered and winners of new business as the semiconductor industry overall adds capacity. Coming to the shortage situation that we're facing now, it's really difficult to say whether or not it truly is a capacity issue or that it's more COVID-19 impacted and then maybe the system just got a little out of balance. If you think about what we've all been through last March or in the spring timeframe when the pandemic settled in, and we started the whole stay at home IT surge products took off. And of course, it consumed a lot of those same semiconductors, whether it was stay at home for work or for learning or stay at home for entertainment, all of those products consume the same type of semiconductors that are now showing up as shortages in the auto sector. And so will that continue? Certainly, there's a rebalancing. We had a shutdown within automotive in North America and Europe that lasted approximately six weeks. And during that time, those other products I mentioned were surging. And so it definitely was the catalyst for this sort of rebalancing issue we have right now. That being said, we are experiencing shortages within our automotive book of business that has spilled over a little to other areas outside of automotive. As we said, we're watching that very closely. We're thinking that it's going to be with us for a quarter or two before things kind of catch up and get rebalanced. That being said, we're in a pretty good position to try to mitigate a lot of that risk. And the last point I would make is the automakers are already having to set priorities on allocations. And of course they set those priorities on the most popular and profitable vehicles in their fleet. And I think we believe that the vehicles where we have content would be at or near the top of that list for many of those vehicle manufacturers. So we're hopeful that we will gain priority with those vehicle manufacturers and those allocations were made and our production will be less impacted maybe than it otherwise would. But we're keeping a close eye on it, Mike. It's developing and it's really, I think, started to manifest itself in the last 60 days. So it's pretty early. But we're keeping a very close eye on it and taking as many countermeasures as we can to mitigate the risk.
Mike Morales: Understood. And taking what you guys had talked about with the auto remaining at this level or even higher moving forward. That incorporates the supply chain situation that you're seeing currently?
Don Charron: That's right.
Mike Morales: Got it. That's helpful. I'd like to take a second to commend you guys on really the eye-popping cash flow this quarter, really, really strong performance there. I'd like to dig into it a little bit and maybe help me understand, I guess, the sustainability of this. Certainly to see the balance sheet and net cash position now is really good. And thinking about moving forward, maybe we're not getting to this level every quarter. But relative to history, how would you guys frame the work that you guys have done on working capital and cash flow moving forward?
Don Charron: Yes. Well, thank you for your kind words. We've been working on it for quite a while, especially the working capital part of that and especially the inventory. I think if you go back six or eight quarters, we started to add inventory due to shortages at that time that were more related to capacitors, multi-layered ceramic capacitors mainly, but there were other shortages that we also felt like we needed to buffer with more inventory, and we build up inventory to a point where it was definitely noticeable on the negative side. We've been working that down and sort of at times, it felt like one step forward, two steps back, but we kept our shoulder into it, kept our focus on it. And the last few quarters are making good progress there. And as we've reported, unfortunately, not all of that progress is reflected in the cash flow number. Our day sales outstanding moved up a bit, and we're working that pretty hard as well in terms of really watching to make sure we get paid on time from all of our customers. And so the inventory efforts, I would say, will continue. We're not at our goals yet. We're making good progress, but we're not at our goal. So we're going to continue to work on inventory and inventory reduction initiatives. That should help us make some more improvements there in the whole cash conversion cycle. And of course, our operating activities without working capital have improved with the improved profitability that we've delivered through just our execution getting better across multiple locations and multiple fronts. And so I don't think we can sit here and say, we're going to report quarters like the one we just did, Mike, obviously best of all time for us, but we do expect to continue with strong cash flow going forward.
Mike Morales: That's helpful. And then last from me, taking all of that on the cash flow and the work that you're continuing to do. Turning to capital deployment, any updates that you can give on just how you're thinking about capital allocation? I know acquisitions, specifically on the medical side, have been expensive recently. Are you guys seeing anything related to maybe COVID-related demand tapering off, resulting in some multiples coming down to make things more attractive? Or is that not really taking place so far and as share repurchases and other uses of capital, most likely deployment?
Don Charron: Well, for sure, Mike, we're going to keep the number one priority on organic growth. We talked about the Thailand expansion and we have others under review. We do, and as I said in my comments, we're optimistic about our new opportunities funnel. And when we look at our footprint, we've got some facilities that are reaching full capacity from a square footage standpoint. And so our strategy there is to expand where we are and we've modeled total greenfields compared to expansions of existing operations, and it's much more favorable, less dilutive to expand an operation where we're operating than to do a full greenfield like we did with Romania. But we are looking at, I mean, obviously, the Board approved Thailand and we've officially kicked that off, and we're looking at other operations that we'll need to make a capital allocation for expansion. That work's going on. As you mentioned, we are looking and are active in the market looking for acquisitions in the medical space, support our diversified contract manufacturing strategy. They're tough to find. An answer to your question, I think what we would say is, if they've not been COVID-19 impacted, they're interested and their name is in the market, and the multiples are high. If they have been COVID-19 impacted, a lot of those targets are just coming off the market and just not talking. And so it's been a challenge to find targets. We're obviously active, have been active, looking at targets and looking for targets. So that's still on our list, but it's been tough. It's been difficult in this market to find something that really works for us. We restarted the share repurchase program this past quarter. That's certainly on the allocation list. And so, yes, number one priority is making sure we've allocated capital to support our organic growth. That's number one.
Mike Morales: Understood. Guys I appreciate the color as always. I hope you folks to be well.
Operator: Thank you. And our next question comes from the line of Anja Soderstrom with Sidoti. Your line is open. Please go ahead.
Anja Soderstrom: Congratulations on another great quarter. And good questions asked already. But if you can just expand a little bit on the capacity comments. Where do you stand now in terms of capacity? And what kind of ability do you have to expand the existing ones until those are fully expanded and you need to go into a greenfield?
Don Charron: Most of our locations like Thailand, we had, let's say, land adjacent to or very nearby our existing facility that's available for expansion. And so the good news is we have the capability to expand the majority of our facilities and literally do that expansion right next door, so to speak. And so that provides a lot of synergy, especially around cost management and leveraging costs and infrastructure costs, while we're expanding the facility physically. So that's the reason why we're focused on that particular strategy for expansion. In terms of our facilities and how full each one is, I would say, obviously, we've made the decision to expand Thailand. So that was pretty full. And with more business coming, we were at the tipping point and that's why we moved forward with that expansion. Next on our list, Mexico, our Mexico facility has also been a very popular operation, growing. And so we're looking very closely there in terms of an expansion to add more capacity. And I would say after that, there's a time where we feel like those expansions will cover us and handle our organic growth given the available floor space we have elsewhere in our footprint.
Anja Soderstrom: Okay, thank you. That was helpful. And also you expect the auto to continue to be elevated for the rest of the year. Do you see that continue into next year? And is that the new normal or?
Don Charron: Well, the thing I would want you to think about is that the whole COVID-19 pandemic has reduced inventory levels, especially in the US, but really globally, inventory levels have been low. And so getting caught back up, if you will, catching back up to what would be considered normal inventory levels will provide a boost that won't carry on. And we think it would take three quarters or so yet for us to build up as a collective value chain to build back up those finished goods where carmakers are more comfortable to have them. Now it may take a little longer, depending on the semiconductor shortage and how it impacts how fast those inventories can be replenished. But the auto analysts around the world are very bullish about the buyers returning to the market. And low inventories driving growth for the foreseeable future. So short term, we'll have a little boost, getting the inventories back to normal, and it will that growth, we would guess, would subside a little once inventories reach the normal levels. But I think overall, there're still expectations that the industry will grow nicely in the years to come.
Anja Soderstrom: Okay, so it's safe to assume that your margins will hold up for the rest of the year?
Don Charron: You were breaking up a little, Anja. Could you ask that question again?
Anja Soderstrom: I just want to grasp my head about around your gross margins performance then. It seems like that will be holding up throughout the year as well then?
Don Charron: Well, certainly, the operational improvements we made. And when you look at the advancements we've made in terms of around execution, our supply chain initiatives, our Lean Six Sigma projects, yes, we expect those improvements to carry forward. Some of the other sort of favorable tailwinds that we mentioned today, those are not necessarily tailwinds that we could expect in the future. We talked about the fact that we know with a weaker dollar that helps us a little. And we also know we had some benefit from mix, especially higher volumes on mature production lines. Those are a little more difficult to project going forward. But certainly, we expect the operational improvements that we made to continue with us and continue to reflect in our gross margin and operating income margins.
Anja Soderstrom: Okay, thank you. And then lastly, you mentioned you feel confident in at least reaching 8% year-over-year revenue growth target for this fiscal year, but how do you see that play out in the coming year?
Don Charron: Well, certainly, we're going to benefit this year first with some softer comparables in Q3 and Q4. In the first half of fiscal year 2021, our growth is in the low single digits after you adjust for FX. As we look to the second half of the year, obviously, to take double-digit numbers in the second half to reach 8% for the full year. So as we look forward beyond FY 2021, there's a lot of factors that we have to sort of settle in on before we could say that we would be confident that our 8% organic growth goal would be within our reach for FY 2022. We feel confident to say that about FY 2021.
Anja Soderstrom: Okay, thank you and that was all from me.
Operator: Thank you. And our next question comes from the line of Hendi Susanto with Gabelli Funds. Your line is open. Please go ahead.
Hendi Susanto: Don, how should we think about growth of your automotive business? Some companies tie their growth metric to unit growth and content growth? And then secondly, how much exposure do you have to EV?
Don Charron: Yes, so definitely, Hendi, when we look at our growth and our projected growth, we're looking at our content and what those vehicles are expected to do in their respective markets. And then we, of course, add in new business that we've won that will be ramping up. And of course, have to subtract off some programs that will go end of life. So we're doing all of that math when we come up with what we think our automotive growth number will be. So it's definitely not a SARS [ph] kind of approach. It's more complicated than that in terms of determining our growth. And as you know, automotive has been a real significant part of our growth over the last several years. And so we continue to be successful in that end market with our value proposition. We continue to win new business. And so we continue to be optimistic about the automotive vertical. There are obviously a lot of disruptions coming to the automotive vertical. As you mentioned, electric vehicles, autonomous driving, ride sharing might have taken a step back in this pandemic. But there are disruptions coming. And so it's important to keep an eye on that as well. There, our automotive strategy has been focused around applications that are going to be winning applications in the future, maybe because their architecture doesn't change or because they're growing in popularity. So for example, we've talked in the past about the fact that we support electronic power steering. That application and that architecture is largely the same for electric vehicle as it is for an internal combustion engine vehicle. And so we see that as a good area to continue to invest in and we have, and we've got growth plans for the future. And we have other applications that are similar in terms of our approach and our focus. We have been successful winning content on electric vehicles. It's been a real success story for us. I can't give you names of our customer or their customer. But it has been a significant part of our growth story in automotive. We're producing modules that go on fully electric vehicles for some of the most popular brands in the world through this customer relationship, and we have a very strong relationship with them. And so we expect to continue to grow that relationship, and it's becoming the amount of our business that is actually on fully electric vehicles is becoming a significant part of our overall automotive book of business.
Hendi Susanto: Got it. And then Don, in industrials, what are some exciting growth opportunities that you see for 2021?
Don Charron: Well, I like what we're seeing on the climate control side of our business. And we're seeing that part of our industrial vertical shows some promising growth and recovering quite nicely, and we've got some really successful customers in that space. So I'm looking forward to seeing how that business ramps up as we go into the - let's say, higher part of the season for those climate controls, especially here in the US for HVAC type applications. I like what we're seeing now in terms of traction with GES. As I mentioned, we've got some seasonality there that we're working to grow and diversify our way out of. But at the moment, we have some seasonality there, but we are seeing some nice traction around new orders for new machines, and we've got some really interesting developments going on there within that business, which again, we report those sales in our industrial verticals. So those are a couple of areas that I'm excited about. I remain very excited about smart metering. I think the pandemic restrictions and conditions will have to subside before we can feel confident about the future growth there. But we have a number of customers in that space that are market leaders. And when that market starts to recover from the pandemic and again, the restrictions and conditions, especially around installation, I believe that will grow again for us, it would be a significant part of our industrial vertical growth story.
Hendi Susanto: And Don and Mike, if you look back at medical, is there a way to quantify the one-time, let's say, like tailwind of COVID-19 in Q1. If I look and compare it to Q1 2021 with the prior year, the delta is about like $26 million. Is that the right way to try to quantify that?
Don Charron: Well, I think that would get you close, Hendi. It would get you close. If you looked at sort of an average run rate and then look at those two quarters that had the COVID-19 related increases. The one thing, I guess, I would want to bring to your attention is there's a negative effect from COVID-19 that is - would also be showing up. So you're looking at somewhat of a net number when you take sort of our average run rate over, say, six or seven quarters and then look at those quarters that had the higher increases of COVID-19 related gear. But we still have parts of our medical vertical that are down from where we would expect them to be, and it's really more related to the fact that they're either not critical or can wait in the whole care continuum with the priority being obviously on COVID-19 patients. So we have a fair amount of our medical vertical that is impacted on the negative side, for example, people not being able to keep their normal doctor's appointments, diagnosis being delayed, treatments being delayed. And so when the pandemic subsides and people are able to go back to their normally scheduled doctor visits and they are diagnosed. We expect those product areas to pick back up. And so I'd just ask you to keep that in mind as you're thinking about doing the math and seeing what the COVID-19 impact was to us in our medical vertical. Again, I would say, Hendi, though, as we said in the script today, we believe that the increases, the COVID-19 related increases we were asked to produce. We completed those and those are reflected in the prior quarters. What we don't know is when the rest of our book of business would get to sort of a pre-COVID expected run rate.
Hendi Susanto: Got it. And then Don, in public safety, how do you characterize the current business? Has this phase out reached its bottom? And when can you start seeing design wins in new products materializing in sales turnaround?
Don Charron: Yes. We're kind of at the end of a run out with one of our larger public safety customers. That happens in our business from time to time with us, and not very often, and I'm grateful for that. But we did have a customer, a longtime customer that's phasing out. And so it's kind of offsetting some of the green shoots, if you will, that we have in the public safety vertical. We have some very interesting applications that we're developing there, Hendi. It's going to be a smaller market for us in terms of size, but it's one that's interesting to us, and we've got some really big names in there that we're really excited about. I can't really add any more detail than that. But the applications around security for the delivery of packages, for example, security of facilities and perimeters of facilities are continuing to be applications that we support and equipment for first responders. So all of those are applications that are in production and are developing. And so we like the vertical. It's going to be smaller than our big three, but it's significant, and we expect to grow there again once we work out the end of this legacy program.
Hendi Susanto: Don and Mike, are we at a point where you can hear more about your capacity expansion in Thailand? In the last earnings call, you mentioned that it may require well like $10 million of CapEx to expand like 100,000 square feet capacity. Can we inquire like more information about what is being planned?
Don Charron: Sure. Absolutely, Hendi. You heard today that Mike talked about, it's approximately $8 million of CapEx, and we've officially kicked it off and it'll take about 12 months for us to gain occupancy of this expanded portion of the plant. Yes, ask any questions you'd like.
Hendi Susanto: So the eight months, it's just like - it's like 100% for the new capacity expansion in Thailand?
Don Charron: $8 million is the CapEx number, Hendi, and the time to complete the project so that we can take occupancy of the plant is about 12 months.
Hendi Susanto: And then can you share which segments, the capacity expansion will be geared more forward to?
Don Charron: Largely medical. Thailand has a mix of our verticals today within that business unit. But the expansion drivers for approving the project to expand in Thailand were primarily driven by new business that we expect from the medical vertical.
Hendi Susanto: And back to the gross margin discussions. So I think the way I see it is that your utilization is running high now, including your factory in Romania. And then therefore, like let's say that in terms of having the realistic expectation on your gross margin expansion, should we expect more in terms of sustaining gross margin at the current level instead of like boosting gross margin further down?
Don Charron: Yes. I would say that would be the right approach, Hendi, especially given the footprint expansion that we're talking about and the favorable tailwind that we talked about. I would just keep asking you to think about the 4.5% long time stated goal around operating income margin. And we're reiterating that. I realize that's lower than the last two quarters we've reported. But we know the last two quarters, we've benefited from those tailwinds I spoke about earlier. And so we do expect that we'll continue our efforts around margin expansion, medium and long-term. And we do see a point in time when we look at our target and wonder if we can commit and set a goal beyond 4.5% operating income margin. We're not there yet. We have more work to do to prove to ourselves. We can set that kind of a target. But that's certainly within our own expectations as management that we would get there in the not-too-distant future.
Hendi Susanto: Got it. Thank you, Don. Thank you, Mike. And then by the way, it is great to see Kimball Electronics being named as one of the stock picks in Barron's Roundtable 2021.
Don Charron: Well, thank you, Hendi. We were glad to see that as well. Thank you. You have a good rest of the day, Hendi.
Hendi Susanto: Thank you. All the best.
Operator: [Operator Instructions] We do have a follow-up question from the line of Anja Soderstrom with Sidoti. Your line is open. Please go ahead.
Anja Soderstrom: Just a quick follow-up on the CapEx, the $8 million. That's related just to the Thailand facility, right? You have other CapEx on top of that?
Mike Sergesketter: That's correct.
Don Charron: Yes. That's correct. Yes. That's just the CapEx that would be tied to the footprint expansion or square footage expansion in Thailand.
Anja Soderstrom: Okay, thank you. That was all from me.
Don Charron: Okay, Anja. Thank you.
Operator: Thank you. And I'm showing no further questions at this time. And I would like to turn the conference back over to Don Charron for any further remarks.
Don Charron: Thank you, Michelle. Thank you, everyone. It brings us to the end of today's call. We appreciate your interest and look forward to speaking with you on our next call. Thank you, and have a great day.
Operator: At this time, listeners may simply hang up to disconnect from the call. Thank you, and have a nice day.